Operator: Good afternoon, and welcome to The Oncology Institute's Second Quarter 2022 Earnings Conference Call. Today's call is being recorded and we have allocated one hour for prepare marks and Q&A. At this time, I'd like to turn the conference over to Mark Hueppelsheuser, General Counsel at TOI. Thank you. You may begin.
Mark Hueppelsheuser: Before we get started, I would like to remind you of the company's safe harbor language. Management may make forward-looking statements including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our filings with the SEC. This call will also discuss non-GAAP financial measures, such as adjusted EBITDA. Reconciliation of these non-GAAP measures to the most comparable GAAP measures are included in the earnings release, furnished to the SEC and available on our website. Joining me on the call today is our CEO, Brad Hively; and our CFO, Mihir Shah. Following our prepared remarks, we'll open the call for your questions. With that I'll turn the call over to Brad.
Brad Hively: Thanks, Mark and thank you to everyone, joining the call today. Before we get into the quarterly details, I'd like to bring your attention to an important development that we expect to give us the financial runway we need to achieve our growth plans. We completed a $110 million strategic investment from Deerfield Management, through senior secured convertible notes. The convertible notes bear interest at 4% per annum and mature on August 8, 2027 and are convertible into shares of the company's common stock. The notes have an initial conversion price of approximately $8.57, representing an approximate premium of 30% over the closing price of TOI's common stock on August 8, 2022. This investment will provide TOI with important growth capital to continue our expansion into new markets, with our differentiated value-based approach to oncology. This represents a significant milestone in our journey to disrupt the $200 billion-plus US oncology market. We remain highly optimistic about our future and we are excited about this new investment from Deerfield, one of the most active and experienced health care investors in the country. TOI is on an aggressive growth trajectory and I'm excited to share some of the highlights from the last quarter with you. As we've discussed before, practice acquisitions and acqui-hires, continue to be an important component of our growth strategy. We've had good success with this strategy recently, completing three highly strategic transactions. We completed the acquisition of Women's Cancer Care, the Fresno California practice of Dr. Perkins and Dr. Ge, this May. We completed the acquisition of the Las Vegas practice of Dr. Parikh in July and we completed the acquisition of the Orange County California practice of Dr. Sapra, also in July. These acquisitions expand TOI's network of 93 specially trained physicians and advanced practice providers, across 57 clinics in five states. The addition of Women's Cancer Care opened a new market for TOI, Fresno County and we are optimistic about the growth opportunities for TOI in that market. Our unique model for oncology care is gaining traction in our expansion market, signaling increased need and desire for a more cost-effective solution like ours. We continue to experience a steady increase in referral volume from our gain share contracts in Florida and we added a new value-based agreement in California. We recently opened our 13th market with our expansion into Austin, Texas, where we opened two new specialty cancer clinics, one of which went live in June and one in August. The clinics offer comprehensive medical oncology services, designed to expand access to state-of-the-art oncology care for ARIA patients and will increase access to leading clinical trials cutting-edge programs and exceptional oncologists. Our participation in CMS' oncology care management program or OCM, continues to generate meaningful savings. Since the start of the program in 2016, TOI has delivered Medicare savings, approximately $9.5 million, exceeding target savings by $5.3 million. In the most recent OCM performance period, TOI saw savings of close to $4,000 per patient episode. In addition to these meaningful cost savings, TOI demonstrated above average quality performance based on its aggregate score. I'm very proud of our results in this program, as it speaks directly to TOI's track record of achieving better outcomes for patients at a lower cost, an important validation of our differentiated value proposition. While the OCM model ended on June 30, 2022, CMS has announced a new model that replaces OCM. This new model is called the enhancing oncology model or EOM and it will start July 2023. TOI continues to support the advancement of oncology payment design and care delivery and we believe, we're leading the way for the adoption of more value-based models of oncology care nationally. We are evaluating the new EOM model and our participation in it. I'll now provide some additional highlights on our progress this past quarter. First, TOI joined the Russell 2000 and Russell 3000 indexes on June 27, an important milestone for us as a public company. Second, we expanded our partnership agreement with McKesson Corporation. This multiyear agreement is intended to streamline TOI's pharmaceutical distribution logistics and provide operational and financial alignment to continue and execute upon the company's expansion strategy. Third, we are making good progress working through remediation of issues related to SOX compliance. And finally, we welcomed several new leaders to TOI; including Melissa Campenni, VP, Strategic Partnerships; and Dave Goodman, VP, Talent Acquisition. Both will play critical roles in our growth strategy as they lead our contracting partnerships and teammate growth strategy, respectively. Overall, we are pleased with the progress we've made over this past quarter and we continue to be optimistic about the expansion of our unique model of oncology care. Now I'll turn the call over to Mihir to provide additional detail on our first quarter financial results.
Mihir Shah: Thank you, Brad. Starting with the top-line. We generated $61 million of total revenue in the second quarter, a 22.2% increase year-over-year and a 10.4% increase compared to Q1 2022. As we discussed on our year end results conference call, we made a strategic decision to terminate a large payer contract in late 2020 and this impacted our year-over-year growth in the second quarter. Absent this termination, our revenue growth in the second quarter of 2022 would have been 25.8%. For the second quarter, our gross profit was $11 million and our gross margin was 18.3%, a 2.3% increase over the prior year period. On a GAAP basis, our net loss was $5 million for the quarter. For the quarter our adjusted EBITDA was negative $6.9 million. Our adjusted EBITDA calculation includes provider start-up costs as well as acquisition costs. Further details on how we define adjusted EBITDA can be found in our 10-Q. At quarter end, our cash balance was $64 million. With the convertible debt deal that Brad discussed, we will have approximately $170 million on a pro forma basis. We expect this capital to be sufficient to support operations and enhance our growth for the next 24 months. Now turning to guidance. Results for the second quarter of 2022 came in as expected and our outlook for 2022 remains unchanged. For full year 2022, we continue to expect revenue to be in the range of $270 million to $310 million representing 33% to 53% growth over 2021 revenue. Our gross profit guidance remains in the range of $50 million to $60 million and adjusted EBITDA in the range of negative $20 million to negative $25 million. As a reminder in January 2022, Medical implemented a policy regarding reimbursement of pharmacy services. Although, the policy was not intended to change the way physician administered chemotherapy drugs built under the Medical benefit are reimbursed in the early part of the year certain Medical managed care plans nevertheless began to transition some of these claims to be payable as pharmacy benefit. The California Department of Healthcare Services issued clarifying guidance that all medically necessary prescription drugs administered in outpatient office continue to be available through medical benefit. During the first half of 2022, we saw minimal impact in our IV chemotherapy drug reimbursements. With respect to our dispensary, we have historically dispensed oral oncolytics to certain medical patients and some of the scripts are now being covered under Medical Rx insurance, which we are not currently able to fill. We estimate this to translate into $6 million less revenue in 2022 that we would have otherwise benefited from. We continue to actively assess opportunities for us to mitigate the impact on our business going forward including launching or acquiring a pharmacy. We will update you once we have more information available. With respect to SG&A, we are on track with our spend so far in 2022. We continue to make targeted investments in our corporate infrastructure in particular those related to public company costs and supporting our growth strategy. We want to reemphasize that we are not adding back DNO cost to adjusted EBITDA nor are we adding back any start-up costs related to new sites or new providers. I will now turn it back over to Brad for some summary remarks. 
Brad Hively: Thanks, Mihir. In summary, TOI continue to make important strides in our effort to be the leading value-based oncology provider in the country. By adding two new markets and several acquisitions, we are bringing our unique model of care to more patients and more communities. Our expanded gain share in value-based agreements show that there is continued demand amongst our partners. And with the recent $110 million investment from Deerfield, we have more resources and tools to execute on our growth strategy. We look forward to making additional progress in Q3 and providing an update on our next earnings call. And with that, I'll turn it back over to the operator to open it up for questions. 
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Brian Tanquilut with Jefferies. 
Taji Phillips: Hi, everyone. This is Taji on for Brian. Thank you for taking my question. So my first question is on the Patient Services segment. Can you just provide some color on the revenue mix there between fee-for-service and capitated contracts? And then also too if you could break it out between revenue that's attributed to organic versus inorganic growth?
Brad Hively: Sure, Taji. Nice to hear from you.
Taji Phillips: Thanks, me too.
Brad Hively: So Mihir keep me honest on this in terms of what we've disclosed. I – most the last time we provided the specific split around capitation versus fee-for-service what we said was that revenues from patients covered under capitated contracts generate just under 50% of our revenue. Mihir, I don't think that we have provided any future updates for that, have we? 
Mihir Shah: Right. Yes. So Brad in our 10-Q – and Taji in our 10-Q, we do provide the breakout of the fee for – the capitation – sorry, the three different types of revenue patient services revenue is broken down in our 10-Q. I'm trying to get that information for you but it's available. We do not break out further into organic versus acquisition at this point. We are working towards that.
Taji Phillips: Okay. I'll make sure I check the Q. And then also just...
Brad Hively: And just the one thing to note that it is important when you look at the Q and thank you Mihir for reminding me of that. The – we do have patients were capitated – were reimbursed on a capitated basis for a patient. But some of the revenue we bill fee-for-service because if we're not capitated for all the services we provide, some of the services that we provide might be billed fee-for-service. So there could be some revenue in the fee-for-service bucket that is actually attributable to patients that are covered under a value-based contract. Hopefully…
Taji Phillips: Got it. Thanks for that clarification. And then just one more question too on the SG&A line. Thanks for the detail around why it was higher. And I was just curious is any – or is the elevated G&A level or line is any of that attributable to pressure from labor or inflation? 
Brad Hively: Yes it's a good question. We just like every other healthcare services company are susceptible to rising wages and labor pressures. But the majority of the increase in that SG&A is attributable to additional bodies rather than wages because all the de novos and acquisitions that we've done it's primarily attributable to additional people rather than wage or labor pressure.
Taji Phillips: Great Thanks so much.
Brad Hively: Sure. Thanks for the question
Operator: [Operator Instructions] Our next question is from Gary Taylor with Cowen.
Christian Borgmeyer: HI. This is Christian Borgmeyer on for Gary Taylor. Just sort of a related follow-up. What impact is the current macroeconomic environment having on hiring oncologists or attracting oncology groups? Maybe how the competitive landscape has developed alongside how the value proposition of the TOI platform is retaining? Thanks.
Brad Hively: Yes sure. Thanks for the question. We actually feel really fortunate in that we are experiencing really strong demand from physicians who want to work for TOI. So while there are always hard to staff areas and in a national physician practice, there's always going to be some area where we wish we had more doctors or more demand. In the vast majority of the places we operate, we are fully staffed. And in many places, we actually have a waiting list of physicians that have expressed an interest in joining us as soon as we have a position available. So that's – we feel really blessed and fortunate position to be in. And I think that's because our care model and our – what it means to practice medicine at TOI is really attractive to a lot of oncologists. And as we've gone public and we've had a higher profile and more and more people are hearing about us and learning about what it's like to practice medicine at TOI, we've actually benefited from that and are feeling really good about position demand from a hiring perspective. Was there a second piece to your question in addition to the hiring position component, or was that...
Christian Borgmeyer: No that was all. Thank you so much for the color.
Brad Hively: Sure.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back to Brad Hively for closing remarks. 
Brad Hively: Great. Well, thank you all for joining our call today. We look forward to following up with you in the coming days. We're very excited about TOI's path ahead and we look forward to updating you on our progress on our next earnings call. Thanks and have a good day. 
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.